Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Sherritt International Corporations Fourth Quarter Results Conference Call. (Operator instructions) I would like to remind everyone that this conference is being recorded today, Wednesday, February 23, [2010] and I will now turn the conference over to Paula Myson, Managing Director Investor Relations and External Communications. Please go ahead.
Paula Myson: Thank you Luke and good afternoon everyone. Welcome to the call. Our press release was issued this morning. A copy of that release, the MD&A, and full financial statements are available on our website. In addition to the analysts and investors on the call the media will participate on a listen only basis. A replay of this call will be available on our website for a month afternoon this call. I’d like to remind everyone that certain of the comments in the release and on this call include forward-looking statements. Please refer to the cautionary language included in the press release and the risk factors described in our CEDAR filings. On the call today are Ian Delaney, our Chairman and Chief Executive Officer, and Dean Chambers, our Senior Vice President, Finance and Chief Financial Officer. We’ll open with a few brief comments on the quarter and then take your questions. So let’s begin, I’ll turn the call over to Ian.
Ian W. Delaney: Thank you Paula and thank you to the people on the phone for taking the time to listen to us this afternoon, I would just like to make a few opening comments and I’ll ask my colleague Dean Chambers to provide some more detail on the quarter and then Dean, Paula and I will be on the line to answer to any questions that people on the phone might have. So let me start by saying it is another and delightfully routine quarter, good earnings. We finished the quarter with quite a strong cash position. Total cash availability on the order of $1.4 billion of which more than $800 million is in cash in bank. But nothing, no unusual events around year-end numbers reporting, quite a few extraordinary items to be dealt with. Good production, good operation pretty much across the board and no serious [flat] spots. For us of course the big operational challenge is the completion of the Ambatovy Project which made great strides in the quarter. We are still looking for first metal here this summer. We’ve had pretty good weather, pretty good construction weather in the last couple of days because of the cyclone couple of weeks ago but in the Maine, the weather has been with us and we’ve been making great progress. Of course the big operational challenge for us for the next year is to complete that project, ramp it up and get to the financial completion point. The rest of the company as indicated operating pretty well. No serious deficiencies, costs coming in line just about as projected where we would expect it would be for the commodity prices that we're experiencing, so not much to report there by the way of extraordinary and perhaps I will ask Dean to comment in detail.
Dean R. Chambers: Thanks Ian and good afternoon to those of you on the call. I will take a few minutes to try to add some color to our release of our earnings today as well as to our outlook for 2011. Our fourth quarter earnings were $81 million or $0.28 per share, which compares quite favorably to the third quarter of 2010 where our earnings were $57.6 million and compares nicely to the fourth quarter of 2009 were earnings were $48.3 million. Full-year 2010 earnings were $214 million or $0.73 a share compared to 2009 full-year earnings of $85.7 million or $0.29 a share. So as Ian said, it’s been a strong quarter and a strong year reflecting strong commodity prices, especially in nickel and export thermal coal and consistent production throughout all of our businesses. It’s actually evidenced by number of production records. Certainly in metals, we set the [low] operations at a mixed sulphide production record for the entire year as well as at the refinery, a full year nickel production record. Both prairie and Mountain Operations in coals had quarterly production records in the fourth quarter and on a 100% basis Mountain Operations set a full-year production record of 4.2 million tons for the entire year, largely reflecting the opening of the Obed mine that we opened up in 2009. So looking at our production outlook for 2011 in Metals, pretty consistent with 2010, some impact of grade on production is expected in 2011, but generally very strong production again in the coming year. Increase production in coal as many of the things that affected production in 2010 are behind us, both in terms of [cluster] demand in Prairie Operations and permitting and operational issues in Mountain Operations, so expecting a good year out of coal as well. Also 2011 is the first year our full consolidation of Mountain Operations as result of our acquisitions of Teachers’ interest in Coal Valley. Some reduction in Gross working-interest oil production in Cuba and also some reduction in power production largely related to available of the gas in our power business. Like prior reporting periods, there is a couple of one-time non-cash items that had an impact on our results in the quarter. Again, we had significant foreign exchange gain $15.3 million. This is the unrealized foreign exchange gain continues to result primarily from the translation of the loans from our partners at Ambatovy. Those are U.S. dollar denominated loans. We continued to borrow against those loans and the Canadian dollars continues to strengthen and so we get this foreign exchange gain. Obviously if the Canadian dollar were to depreciating in value then that would show up as in future earnings as well. The other significant impact is a $8.1 million item related to the closure of our Canada Talc operations in our mineral products division. Last year, we announced that we are going to close those operations, the mine and plant at Canada Talc. In the fourth quarter, we received the consultant’s reports on the work that needed to be done. We also received estimates from the contractors et cetera and so we have a lot more information on that closure plan and we’ve realized that there is significantly more work that needs to be done than originally predicted and also we’re now going to spend that money in basically the next two years and so the discounted cash flow calculation in their asset retirement obligation is not much of a discount. So the net result of all of that is an $8.1 million charge to earnings in the quarter. So adjusting for those items, our fourth quarter earnings were $73.8 million or $0.26 a share. And if you look at the full-year 2010 in the number of adjustments you’ll see in our press release if we were to take all those into account full-year earnings would be $224 million or $0.76 a share. Now this good operating environment that we've been in has obviously had a positive impact on cash flow, operating cash flow for the full-year 2010 of $513 million versus about $436 million in 2009. As Ian mentioned, our cash balances at the end of the yea about $828 million, $120 million more than at the end of the third quarter of last year. Total liquidity is $1.4 billion, so that’s essentially our available cash balances plus availability under un-drawn credit lines that we currently have in place. As many of you know I’ve looked at our balance sheets and the leverage of our balance sheet in many ways. Our long term debt to total capitalization is at 36%. If I take the net debt to total capitalization ratio, I get about 30%. So I was taking into account that significant cash balance that we have. I also look at recourse debt to total capitalization and back-out. The non-recourse debt associated with the Ambatovy project and when I do that calculation, I get a recourse debt to total capitalization ratio of 14%. I tend to look at all those numbers but when I look at our cash balances, our leverage ratios, our liquidity position I feel very confident that we are in a strong financial position going into 2011 to deal with all of our commitments of this year. Talk for a minute about income taxes, effective tax rate for the fourth quarter is about 22%. If you look at full year 2010 income tax expense, it’s about $111 million for an effective tax rate of close to 32%. If you look at our 2009 income tax expense, it’s about $23 million for an effective tax rate of 18%. So both years were significantly impacted by one-time adjustments that had a significant impact on our effective tax rate. In 2010, we recorded a future income tax liability of $15.9 million related to the Cuban contingency reserve. Also in 2010, we did not record a tax recovery for the impairment of property in Turkey when we relinquish some oil and gas licenses in that country. If you adjust for those items or back those items out, you essentially get a normalized effective tax rate for 2010 of 25%. If you look at 2009 there was tax related to the $79.5 million loss on disposal of assets in our oil and gas business. If you take that adjustment out, you end up with a normalized tax rate for 2009 of 22%. So basically on a normalized basis, we an effective income tax rate of 25% for 2010 and 22% for 2009. And that difference can be explained by the mix of our profit and loss in the various jurisdictions in which we operate and I think gives you a pretty good indication of the tax rate to use going forward for 2011, somewhere in the sort of 20% to mid-20% range. Turning to Ambatovy, our capital spending in 2010 was about $1.1 billion, pretty much exactly as expected. As you can see we’re forecasting $325 million for this year. As construction winds down into later parts of this year and of course these numbers do not include financing cost, working capital, foreign exchange. We continued to make great progress, 39% of our systems have been turned over for commissioning. One of our power plants has been fired up. Pipeline construction is essentially being completed and reclamation is proceeding very well. As Ian mentioned, we’ve had the benefit of good weather and I think that’s really helped our progress on reclamation. Things that are offsite are in very good shape. The port, ammonia storage, we’ve been running the train back and forth between the port and the plant site, was getting a sense of how that works and getting the timing of those trains down and of course that’s the mine we’re building the stock piling front of the ore preparation plant. We’ll talk for a few minutes about capital spending in 2011 excluding Ambatovy. You will see in our outlook section we’re predicting $480 million of capital spending this year versus a $197 million spent last year. The breakdown is about $300 million of sustaining CapEx and $180 million of expansion of exploration capital spending for this year. In coal, the big increase in sustaining capital spending it will see is in coal, largely related to timing of the replacement of certain equipment as well as long lead times for lots of equipments, we can continue to use for reasons for example of longer lead time showing out for Caterpillar equipment and things like that. The $180 million of expansion and exploration spending does include a $143 million for the 150 megawatt Boca de Jaruco Combined Cycle Project or phase eight. I will mention that our capital spending does not include capital for the Phase 2 expansion or the asset plant in our metals operations. We will add that once we reach agreement on going forward on those projects and how we plan to proceed and how we plan to finance them. You may have noticed that we have budgeted about $13 million to be spent on Sulawesi and actually hope we spent more than that on Sulawesi as we want to accelerate that project as much we can. The last main item I will mention is IFRS. So these are the last statements that we will issue under traditional Canadian GAAP. And starting in the first quarter of 2011, we will be reporting under International Financial Reporting Standards or IFRS. We do describe some of the significant impacts in our MD&A, but I will touch on a few. As you know, we fully consolidate the Ambatovy Project due to variable interest entity accounting under Canadian GAAP. So we fully consolidate Ambatovy under IFRS. We will essentially be recording our investment in Ambatovy in a single line as an investment in an associate. Also Energas that we fully consolidate due to the IE accounting under Canadian GAAP. We will be proportionally consolidating going forward under IFRS. So this will have a significant impact on our balance sheet, all in all will result in actually, will result in significantly smaller balance sheet. And so those are the big changes really from a consolidation point of view. There will be some impact on earnings, for example borrowing costs on our loans from our partners at Ambatovy currently being capitalized under Canadian GAAP will be expensed under IFRS. Also certain coal revenue has been classified as really lease income and will show up as financing income as opposed to sales revenue on our income statement. So there are a number of impacts that IFRS will have on our statements and certainly as we get to that point of releasing our first quarter we will be providing a lot of information to help reconcile those results to our historical results. That concludes my formal comments. And I'll turn the call back to Paula Myson or back to Ian, sorry for the comments and then to questions.
Ian W. Delaney: Great, thanks Dean. So, Dean, Paula and I are here to entertain any questions that beep on phone that is put to us.
Operator: Thank you. (Operator Instructions) Your first question today comes from Onno Rutten of UBS Securities. Please go ahead.
Onno Rutten – UBS Securities: Yeah, good day everyone. First of all few quick questions for Dean. On Moa other operating expenses were not as high during the quarter, I think in Q4 was there anything particular? Cash cost were great in line, but then there was another OpEx that was abnormal?
Dean R. Chambers: No, I don't. The number of things that go into the other category, I’m not aware of any one particular item that had an impact in the quarter.
Onno Rutten – UBS Securities: Okay, good, okay. And then on CapEx, as you highlight in coal, quite a pickup in sustaining CapEx. Going forward 2012 onwards what would you expect similar levels or is this just the timing issue and do you expect a reduction?
Dean R. Chambers: I would expect some reduction probably going forward. There is, as I said it is the timing to certain equipment. How long this long lead time issue will continue in the marketplace is another question but it is related to the need to replace certain equipment in the coming year.
Onno Rutten – UBS Securities: But the long lead time shouldn’t CapEx, because you just ordered it?
Dean R. Chambers: Well, we make commitments and we do spend, we do, we conclude those commitments that are capital spending or a portion of that.
Onno Rutten – UBS Securities: Okay, okay and then on, about the Q3 the actual project progress was 85% was spend is of course in this type of progress line but only the actual project could you give an updated number?
Dean R. Chambers: It's probably closer to 90% but that's just a pretty rough number to be honest.
Onno Rutten – UBS Securities:
.:
Ian W. Delaney: It’s the latter. It’s a marvelous, at first blush the Sulawesi project is a marvelous resource but we have not made a commitment to build it out. We have the fairly modest option cost of $110 million over five years. We’d like to remove the question mark earlier rather than later. So we are trying to accelerate. The thing is that you would want to look at before you made any commitment to such project. But in any event it’s seven years out before you could get a shovel on the ground. And so it’s one half several things we are looking at.
Onno Rutten – UBS Securities: Are you still as active in looking at other opportunities right now?
Ian W. Delaney: Absolutely.
Onno Rutten – UBS Securities: Okay. Thank you.
Operator: Your next question comes from Robin Kozar of RBC Capital Markets. Please go ahead.
Robin Kozar – RBC Capital Markets: Thanks and good afternoon everyone. I just wanted to, there’s two details I just wanted to touch upon, perhaps get some more thoughts. You had mentioned in the call here, in the release, you talked about the Phase II expansion at Moa. That was suspended a while back when things were falling apart in the global economy. But can you just provide some thoughts in terms of timing of that and perhaps when we could see an announcement for that or the rest timelines that are being considered?
Ian W. Delaney: Well we don’t have the timeline at the Robin. It’s Ian speaking. That’s a 50/50 joint venture as you know. We’re ready to do that whenever our partners, they are in a position to finance their 50%, which I don’t think they’re yet and from the time you sort of take.
Robin Kozar – RBC Capital Markets: Okay. So… 
Ian W. Delaney: We would do that as fast as we could and if we can get agreements that are friendly.
Robin Kozar – RBC Capital Markets: Okay. They want to proceed as well but they need a better time to get their finances in check I guess and…
Ian W. Delaney: Correct.
Robin Kozar – RBC Capital Markets: Get their natural balance sheet in order. In terms of, I guess the second question I had was with Ambatovy. You mentioned in the call here, 39% of the systems have been turned over to commissioning teams. You guys are concentrating on ramping up this project, big task at hand. Can you provide us with some broad key factors to look for here over the course of the next few months or of the year in terms of goal posts, you know something we can benchmark in terms of your progress, whether its commissioning or specific elements if the project or anything of that sort?
Ian W. Delaney: Well, internally we have about 50 benchmarks and while, maybe I can get it by telling you what I lose sleep over.
Robin Kozar – RBC Capital Markets: That’s fair enough. Yeah
Ian W. Delaney: So number one is weather, we are currently spending about $90 million a month, $3 million a day. You can do the math. You lose two days, $6 million. So today we have been blessed with good weather and we are really been making great, we really have been taking advantage of it. The other thing I lose sleep over is we still got sort of order magnitude, 13,000 people on site and demobilizing those in an efficient fashion over the next years is something I lose sleep over.
 : You just know that as we start to turn these things on, the thing that I lose sleep over is, I lose no sleep over catastrophic failure. I don’t, I am reasonably comfortable of that and it’s not a sleep over process integrity. I don’t, this is, the process here is something that we think we’ve been working with for a long, long time so I don’t lose any sleep over that. Those are the kind of things that might check off. 
Robin Kozar – RBC Capital Markets: Okay, just I guess, to expand further on the processing, I mean do you, in terms of the commissioning that touched on to-date a lot of it’s been more offside. You mentioned the rail, there is a lot of moving parts with this project, where are you in terms of the testing, the process, I mean has that begun at all, in terms of?
Ian W. Delaney: No, not at scale, we have done lots of large scale and private scale stuff, but we haven’t got enough complete circuitry there to actually to be trying to touch that scale.
Robin Kozar – RBC Capital Markets: Of course. So and when do you think roughly could we expect that?
Ian W. Delaney: It's going to, next month and the months following you really do start to turn these things on, in order to stick to our date of first metal at summary, then of course between here and there, you’ve got about small, at least a month’s range you’ve got to have pretty good understanding of how things are going to move to.
Robin Kozar – RBC Capital Markets: Alright, thank you very much and congratulations from the good results again.
Ian W. Delaney: Thanks Robin.
Operator: Your next question comes from Anoop Prihar of GMP Securities. Please go ahead.
Anoop Prihar – GMP Securities L.P: Good afternoon. Just two quick ones. First on the power, with respect to the guidance for 2011, the production dropping you made reference to the fact that there was an issue with gas availability. I’m just wondering that we should foresee as being permanent or is it a timing issue or just a bit more color on that please?
Ian W. Delaney: Yeah, I mean we’ve obviously had gas availability and concerns for a number of reporting periods now. It's something that we're working on with our partners. I mean power is obviously very important in Cuba, and so we expect to find a resolution to that. I do think it will take some time. 
Dean R. Chambers: And with respect to the phase eight we have expressed it contractual terms protected ourselves with alternative power supplies, fuel oil alternatives and the like.
Anoop Prihar – GMP Securities L.P: Is the phase eight expansion than in just a different region where the availability isn’t a big issue?
Ian W. Delaney: No, it’s the availability is a concern, but we have in the original proposal that we made for that phase eight, we can’t fight it using our fuel oil alternatives.
Anoop Prihar – GMP Securities L.P: Okay, that’s fine. And then just secondly with respect to the exports the Mountain Operations, I'm wondering what's your best guess as to your realized coal price for the upcoming year?
Ian W. Delaney: If I give you the right answer, will you pay a lot of money?
Anoop Prihar – GMP Securities L.P: Sure.
Ian W. Delaney: I don’t know, for I think some of our own internal budgeting purposes we use the number, like $105. But we are going to see coal settlement prices here any day now and just look at my colleagues (inaudible) see any significant settlement prices yet.
Dean R. Chambers: Yeah, I think as you know, this typically gets settled in the second and third quarter. The Japanese here sort of April to April or April to March. So we will start to see that probably by the time we report our next results.
Ian W. Delaney: We’ve certainly seen higher spot prices as a result of flooding in Australia and that's going to take a while to start to top up. Whether that gets reflected in the annual settlement number is not same, but the market it looks pretty robust.
Anoop Prihar – GMP Securities L.P: Okay. And so…
Dean R. Chambers : In other words we can just say we do settle, I think about two thirds of the contracts by April. So…
Anoop Prihar – GMP Securities L.P: You are talking about my other question?
Dean R. Chambers : Yeah. The pricing will be, well no pricing soon.
Anoop Prihar – GMP Securities L.P: Okay, two thirds of the volume rose?
Dean R. Chambers : Yeah.
Anoop Prihar – GMP Securities L.P: Okay.
Dean R. Chambers : Roughly.
Anoop Prihar – GMP Securities L.P: Thank you.
Operator: (Operator Instructions) Your next question comes from the line of Tony Robson of BMO Capital Markets, please go ahead.
Tony Robson – BMO Capital Markets: Thank you, gentlemen. Thanks for taking my question for metals and coal in particular where do you think cost will be placed in 2011, with the fourth quarter be of reasonable guidance of course we also see recent amount of fluctuations quarter-on-quarter costs, so that would impact the costs.
Ian W. Delaney : I don’t know that we’re going to see much change in the cost in the coming year but as particularly in our metals business we see sulfur prices falling and of course you are seeing energy costs rising on the other side. In order for us to get a complete cost projection we need to have the input prices pretty well pegged and that’s difficult, wouldn’t expect you will see much difference than what we’ve seen in the fourth quarter.
Tony Robson – BMO Capital Markets: Okay, great. Question for Dean if I may. Just going back to IFRS and the changes we’ll see falling for the first quarter, a little bit simplistically but do will we see it as, as you sort of mentioned the debts associated with Ambatovy sort of disappear and then likewise on the asset side of the balance sheet the fixed asset associated with Ambatovy also disappear. So essentially shareholders equity remains the same?
Dean R. Chambers : Yeah, you are essentially correct. We end up with a net investment line and it’s called an investment in associates so yeah you are right. So the asset and the debt that we currently fully consolidate do sort of disappear into a net number.
Tony Robson – BMO Capital Markets:
 :
Dean R. Chambers: Well, at that point we’ll provide guidance, by that time. Sure, but not now.
Tony Robson – BMO Capital Markets: Sure.
Ian W. Delaney : Right now about 110% of the energy is going to build.
Dean R. Chambers : One other thing Tony is that it’s both the nature of IFRS and certainly our plan since that note disclosure becomes very important and so IFRS accounting will really a lot of note, footnotes since to provide additional information and certainly with this outcome was specially on things like Ambatovy that we will be expanding the note on Ambatovy will probably blow up that one line for you in our footnotes. So and as certainly as we go to the early reporting periods were people providing a lot of information to help reconcile that to what you used to. But there will be a lot of note disclosure which I think we’ll provide a lot of help from under IFRS and certainly with the outcomes that we are seeing.
Ian W. Delaney: And then generalize since to I think it is worth noting that IFRS is a long way from a finished product. As this year unfolds and into next year, I think the most of the National Accounting firms will tell you there is going to be dozens and dozens and dozens of exceptions put forth and we just watch those unfold through the year.
Tony Robson – BMO Capital Markets: Okay, great. Thanks.
Operator: Your next question is a follow from Onno Rutten of UBS Securities. Please go ahead.
Onno Rutten – UBS Securities: Yeah, thanks to taking the follow up. One more general question on Ambatovy with regards to the refinery portion of the project, because that was the one that was further behind before the issues with the power plant came to the full. Could you elaborate where did the refinery progress is right now?
Dean R. Chambers : Well, refinery progress is coming along quite well. There are a lot with the contractors there. Obviously if we are going to have first metal in this summer, then refinery will be operational by that time.
Onno Rutten – UBS Securities: 
 :
Dean R. Chambers : Right first metal.
Onno Rutten – UBS Securities: First metal, okay. And then
Ian W. Delaney: One recap
Dean R. Chambers : One recap
Onno Rutten – UBS Securities: One recap
Dean R. Chambers : It has something to do with (Inaudible) or something.
Onno Rutten – UBS Securities: And which summer? Northern or Southern hemisphere?
Ian W. Delaney: We didn’t think you were going to get there.
Onno Rutten – UBS Securities: Anyway, on Sulawesi because based on Ambatovy works of course Sulawesi is interesting. So one more question, the conditions precedent, what are those and are those related to let’s say the ownership title local government interests et cetera. Or are these just simple complexual terms with Rio?
Dean R. Chambers : No, no largely contractual terms, you means conditions precedent to our ownership interest?
Onno Rutten – UBS Securities: Yeah.
Dean R. Chambers : Yeah, No it’s simply for example to get the shares in this first space, we have to spend $30 million we have to provide certain reports. We have to agree we are going to spend more money that sort of thing but it’s primarily contractual.
Onno Rutten – UBS Securities: So the ownership structure right now is understood to be between you and Rio with the understanding that the government could earn in 20%.
Dean R. Chambers : No, no we have agreements with local interests including the prudential governments and the regional governments for the 20%.
Onno Rutten – UBS Securities: Are those already in place?
Dean R. Chambers : Yes.
Onno Rutten – UBS Securities: And they would be triggered how and when?
Dean R. Chambers : We know we have memorandums of understanding with all of those and will be finalizing legal documentation over the next period of time.
Onno Rutten – UBS Securities: Okay, okay very good. Have you done any process test work, quick audit placed test to see how the material responds?
Dean R. Chambers : We have not yet.
Onno Rutten – UBS Securities: Okay.
Dean R. Chambers : But every indication is this is very high quality, high-grade ore body of very large size probably…
Ian W. Delaney : You’re talking about large scale pile, Onny.
Onno Rutten – UBS Securities: Yeah I think they just test a material.
Ian W. Delaney : We're we sell on it, we would no and no is the answer. We have done some testing but it's too rude to mandate a comment on.
Onno Rutten – UBS Securities: To comment on. Okay. Okay, good. Good luck.
Ian W. Delaney: Thank you.
Operator:
 :
John F. Hughes – Desjardins Securities Inc: Thanks operator. Just two quick ones. Being just again back to the IFRS just so I can get my head around it. As you produce your first quarter of 2011 financials, will you be restating the balance sheet for the end of the fourth quarter or will you be showing all the adjustment like keep the balance sheet same and show all the adjustments for IFRS to get your new balance sheet for Q1?
Dean R. Chambers: Yeah we’ll show you the adjustments to get from one to the other.
John F. Hughes – Desjardins Securities Inc: Okay so you what we see in the balance sheet today for December 31 will be the same at the end of the first quarter?
Dean R. Chambers: No, we will have a different balance sheet under IFRS at the end of the first quarter if I understand your question properly but we will show you the adjustments to this reconciled docs to a Canadian GAAP balance sheet. 
Ian W. Delaney: We’ll be able to reconstruct the GAAP balance sheet for you.
John F. Hughes – Desjardins Securities Inc: You know for those of us have all these flowing financial statements in everything is for us is going to create a bit of a challenge depending on the company.
Ian W. Delaney: Yeah.
John F. Hughes – Desjardins Securities Inc: And I know that I am not exactly presenting new news but in the 13 million and so easy dollars to be spent, what are you spending 30 million on?
Dean R. Chambers: It’s going to be drilling, probably some baselines studies, environmental baseline studies, social baseline studies, also we can get some drilling, you can do some test work that would be great.
Ian W. Delaney.: If conditions permit, we would spend more.
Dean R. Chambers: We would spend more. We’re going to accelerate that project, obviously as quickly as we can. But it sounds easy early drilling and feasibility type work that we will spend the money on.
John F. Hughes – Desjardins Securities Inc: Okay. And is that the total amount for both partners to spend or is that your share?
Dean R. Chambers: We’re spending all the money at this point.
Ian W. Delaney: We have to spend all the money to earn in.
John F. Hughes – Desjardins Securities Inc: 13 million on drilling on your account?
Ian W. Delaney: Well, our commitment is to spend $110 million over five years.
Dean R. Chambers: And during that time, we will be spending the money and we will since not be. We will be earning in as we spend that money.
John F. Hughes – Desjardins Securities Inc: So depending on what you are allowed to do and the drilling results did the 13 million change?
Ian W. Delaney: We hope it would.
Dean R. Chambers: It’s the one budget I hope to exceed.
John F. Hughes – Desjardins Securities Inc: Okay, great news. Thank you very much gentlemen.
Operator: Ms. Myson, there are no further questions at this time. Please continue.
Paula Myson: Thanks Luke. As always, we’re available if you have any further questions. We will talk to you again at the end of April with our Q1 results. Thank you for joining us and have a good afternoon.